Operator: Good morning everyone and welcome to Getty Realty’s Earning Conference Call for the Fourth Quarter and Year End 2019. this call is being recorded. Prior to starting the call Josh Dicker, Executive Vice President, General Counsel and Secretary of the company will read the safe harbor statement and provide information about our non-GAAP financial measures. Please go ahead Mr. Decker.
Josh Dicker: Thank you, operator. I would like to thank you all for joining us for Getty Realty's fourth quarter and yearend earnings conference call. Yesterday afternoon the company released its financial results for the quarter and year ended December 31, 2019. The Form 8-K and earnings release are available in the Investor Relations section of our website at gettyrealty.com. Certain statements made in the course of this call are not based on historical information and may constitute forward-looking statements. These statements are based on management's current expectations and beliefs and are subject to trends events and uncertainties that could cause actual results to differ materially from those described in the forward-looking statements. Examples of forward-looking statements include our 2020 guidance and may also include statements made by management in their remarks and in response to questions including regarding future company operations, future financial performance, and the company's acquisition or redevelopment plans and the opportunities. We caution you that such statements reflect our best judgment based on factors currently known to us, and that actual events or results could differ materially. I refer you to the company's annual report on Form 10-K for the year ended December 31, 2018 subsequent quarterly reports filed on Form 10-Q and other filings made with the SEC for a more detailed discussion of the risks, and other factors that could cause actual results to differ materially from those expressed or implied in any forward-looking statements made today. You should not place undue reliance on forward-looking statements, which reflect our view only as of the date hereof. The company undertakes no duty to update any forward-looking statements that may be made in the course of this call. Also please refer to our earnings release for a discussion of our use of non-GAAP financial measures, including our definition of adjusted funds from operations or AFFO and our reconciliation of those measures to net earnings. With that, let me turn the call over to Christopher Constant, our Chief Executive Officer.
Christopher Constant: Thank you Josh. Good morning everyone and welcome to our call for the fourth quarter and year ended 2019. With Josh and me on the call today are Mark Olear, our Chief Operating Officer and Danion Fielding our Chief Financial Officer. I will begin today's call by providing an overview of our fourth quarter and year end 2019 performance, touch on our 2020 strategic objectives and then we'll pass the call to Mark to discuss our portfolio in more detail and then Danion will discuss our financial results. Getty had a very active fourth quarter punctuated by the acquisition of 13 properties for $43.8 million in a combination of individual and portfolio transactions in both the convenience and gas and other automotive sectors. In addition, during the quarter our core net lease portfolio continue to display the strength and stability that we expect from our long term triple net leases and continue to make progress on our redevelopment projects. As we close out 2019 and look ahead to 2020, our team is more focused than ever on executing on each of our growth initiatives including realizing internal growth from our operating assets, enhancing our portfolio through accretive acquisitions and unlocking embedded value through selectively developments. We are confident that our targeted investment strategy which includes focusing on the largely internet resistant service oriented convenience and gas and other automotive sectors in metropolitan markets across the country will continue to create value for our shareholders over the long term. Furthermore, we will do so while maintaining a conservative and flexible balance sheet position. Turning to our results for the quarter, we grew our revenue, net earnings, FFO and AFFO for the quarter and year as compared to the same periods for the prior year. On a per share basis our AFFO was in line with our expectations and increased slightly year-over-year which also reflects our successful capital raising activity during 2019. In addition, we made the decision to incur certain expenses in our redevelopment program and for our environmental litigation matters which weighed on our profitability during the year. Finally, the timing of our acquisitions in 2019 was such that much of the financial benefit will be felt beginning in 2020 and beyond. As I mentioned earlier, we continue to underwrite and acquire new properties. For the year our total investment was nearly $90 million. We acquired 27 high quality convenience and gas and other automotive locations during the year. This activity demonstrates our proactive yet disciplined underwriting approach to growing our portfolio. Over the past three years we have acquired 168 properties for an investment of approximately $380 million. I am particularly proud of the fact that we continue to grow our relationships with established convenience and gas operators. We have been in the convenience and gas business for a very long time and our success proves that maintaining and growing relationships such as these are one of the keys to our ongoing ability to source accretive growth opportunities. The convenience and gas sector continues to evolve. Chain store operators are taking market share at the expense of individual sites and as the industry consolidates we are afforded regular opportunities to review new investment opportunities. We expect to continue to partner with chain store operators to share our growth oriented vision for the sector in the coming years. In addition, 2019 was a year for Getty in which we established and grew relationships with several other automotive operators and made progress and expanding our investments to include related sectors such as car washes and automotive parts and services businesses. As an example we completed our first transactions with both Zips and Go Car Wash during the year and continue to expand our relationship with one of the largest Jiffy Lube franchisees in the U.S. as well. These types of assets are highly complementary to our existing portfolio as they are generally located in similar retail areas, occupy similar locations in size and have similar economic profiles. Over the long term, our goal remains to focus on acquiring high quality real estate and to partner with tenants who share our commitment to growth and evolution of the convenience and gas and other automotive businesses. Turning to our redevelopment program rent commenced on four projects during 2019. These projects included new to industry convenience and gas as well as other retail users. This brings our total completed redevelopments to 13 since commencing this program. As this platform matures we expect to have a steady stream of completed projects on an annual basis while also maintaining a pipeline of additional opportunities which will move through the development progress over time. Utilizing the financial flexibility that we've worked hard to create we were able to finance our growth in 2019 with the combination of gas and selective equity including our September 125 million 10 year unsecured debt private placement and measured use of our ATM program. We placed a premium on being conservatively leveraged and are committed to maintaining a well laddered and flexible capital structure as well as to grow the company. Looking ahead, we remain committed to an active approach to managing our portfolio of net leased assets, standing our portfolio to acquisition, as well as selective development program projects. We are confident that we will be able to continue successfully execute on our strategic objectives throughout 2020. This approach is focused on these critical components should result in driving additional shareholder value, as we move through this year and beyond. With that I will turn the call over to Mark Olear to discuss our portfolio and investment activities.
Mark Olear: Thank you Chris. In terms of our investment activities we had a productive fourth quarter in which we were able to invest $53.8 million in 13 high quality convenience and gas and other auto related assets. When combined with our acquisition activity from earlier in the year, in total we acquired 27 properties for $87.2 million. Staying on acquisitions, during 2019 Getty's underwriting of the potential transaction grew as we added resources to focus on convenience and gas opportunities and made additional in rows and other automotive categories. For the year, we reviewed approximately $1.5 billion of opportunities which met our initial screening process. Convenience and gas opportunities represented 63% and other automotive represented 37% of the total. As we have mentioned in prior calls we remain highly committed to growing our portfolio in the convenience and gas sector. With that said we view the categories of car wash and automotive services as highly complementary to our portfolio as these property types share many similar attributes. Going forward we anticipate growing both areas of our underwriting platform and add a resource to support our extended efforts. To review a few highlights of our investment activities, for the fourth quarter we acquired five convenience and gas locations in individual transactions for $15.7 million and eight car wash properties for $28.1 million. In aggregate the return for the sites acquired during the fourth quarter was in line with remainder of our 2019 activity and broader historical pricing, having a weighted average initial return of 7.2%. Finally, the weighted average initial lease term for the properties acquired in this quarter was $13.6 years. For the year, we further advanced our goal of diversifying our revenue by expanding our relationships with Circle K, Irving Oil and Come-and-Go and entering into new relationships with two of the fastest-growing express car wash operators in the U.S., Zips and Go Car Wash. Our transaction activity in the quarter and year further expanded our geographic reach and remain centered around major metropolitan markets including the Los Angeles and Las Vegas MSA. The net results that we are now represented in 33 states plus Washington DC and 57% of our annualized base rent comes from the top 25 national MSAs. Additionally, after the quarter ended we closed on the acquisition of 11 properties for $53.4 million. All these sites are car wash facilities and are subject to 15-year triple net leases with Zips and Go Car Wash. Overall, our team remains busy sourcing and underwriting potential investments and we continue to feel strongly as the volume of opportunities we are underwriting will produce additional growth as we progress throughout the year. Moving to our redevelopment platform. For the year we invested approximately $2.4 million in both our completed projects and sites which are in progress. In the fourth quarter, we return one redevelopment project back into the triple net lease portfolio bringing our total for completed rentcommenced projectsto four in 2019 and 13 since the inception of this initiative. Specifically, in December rent commenced on project where we ground leased a site to regional developer for a retail use. In this project, we invested $0.4 million and we expect to generate a return on investment of more than 30%. In terms of redevelopment projects we ended the quarter with 14 signed leases or letters of intent which include 5 active projects and 7 signed leases on properties which are currently subject to triple net leases but which have not yet been recaptured from the current tenants and sign letters of intent on two vacant properties. All these projects are continuing to advance through the redevelopment process. We expect substantial all of these projects will be completed over the next one to three years. In total we have invested approximately $2.8 million in the 14 redevelopment projects in our pipeline and we expect to have rent commencement at several sites during 2020. On the capital spending side, we estimate that these 14 projects will require total investment by Getty of $10.3 million and will generate incremental returns to the company in excess of where we could invest these funds in the acquisition market today. For more detailed information on the redevelopment pipeline please refer to page 14 of our investor presentation which can be found on our website. We remain committed to optimize our portfolio and continue anticipate redevelopment opportunities over the next five years possibly involving between 5% and 10% of our current portfolio with targeted unlevered redevelopment program yields of greater than 10%. Turning to dispositions we sold nine properties during 2019 realizing proceeds of approximately $2.7 million. The properties sold were vacant or returned to us by tenants for the terms of their lease agreements. We expect a net financial impact of these dispositions will be minimal. In addition during the year we exited five properties which we previously leased from third-party landlords. As we look ahead we continue to selectively dispose of properties where we have made the determination that the property is no longer competitive as a CNG location and does not have redevelopment potential. As a result of all of our activity we ended the year with 931 net leased properties, 5 active redevelopment sites and 9 vacant properties. Our weighted average lease term is approximately 10 years and our overall occupancy excluding active redevelopments remains consistent at 99%. With that I turn the call over to Danion.
Danion Fielding: Thank you Mark. For the fourth-quarter our total revenues were $35.9 million, an increase of 2.4% over the prior year's quarter and our rental income which excludes tenant reimbursement and interest on those the mortgage receivables grew 4.3% to $30.7 million. Our growth and rental income continues to be driven by our rent escalators and our leases plus incremental growth from completed acquisitions and redevelopment projects. It should be noted that due to the timing of our acquisition activity in 2019 being weighted towards the end of the year we expect to realize poor quarterly revenue contributions to these acquisitions beginning in Q1 of 2020. During the fourth quarter of 2019, we incurred one-time costs related to our decision to proactively terminate a redevelopment project and a higher than projected legal fees related to certain of our environmental litigation, where we are nearing settlement. For more information on specific expense movements please refer to yesterday's earnings release. Our FFO for the quarter was $21.2 million or $0.51 per share as compared to $20.3 million or $0.49 per share for the prior year’s quarter.
 a: Our FFO for the year was $77.8 million or $1.86 per share as compared to $73.6 million or $1.80 per share for the prior year. Our AFFO for the year was $71.8 million or $1.72 per share as compared to $69.7 million or $1.71 per share for the prior year. Turning to the balance sheet and our capital market activities. We ended 2019 with 470 million of borrowings which includes 20 million under our credit agreement and 450 million of long-term fixed-rate debt. Our weighted average borrowing cost is 4.9%. The weighted average maturity of our debt is 5.8 years and 96% of our debt is fixed rate and our earliest debt maturity remains 2021. Our debt to total capitalization commonly stands at 27%, Our debt to total asset value is 41% and our net debt to EBITDA is conservative 4.4 times. In addition, we utilized our at the market equity programs during quarter and issued $5.5 million of capital at an average price for $33.04 per share. For the year we raised $14.5 million through our ATM program at an average price of $32.29 per share. Our environmental liability ended the quarter and year at $50.7 million, down $9.1 million for the year but the quarter and year ended December 31, 2018 the company's net environmental mediation spending was approximately $2.3 million and $7.5 million respectively. Finally, we are introducing our 2020 AFFO per share guidance at a range of $1.35 to $1.80 per share. Our guidance includes all transaction activity as of this date but does not assume any potential future acquisitions or capital markets activities for the remainder of 2020, although it does reflect our expectations that we will continue to execute on our redevelopment leasing and disposition activity. The specific factors which impact our guidance this year include our expectation that we will forego rent when we recapture properties for redevelopment. Our expectation that our cost of borrowings will increase in 2020. The full year impact of the dilution associated with company’s 2019 capital raising activities and our expectation that we will remain active in pursuing acquisitions and redevelopments which could result in additional expenses for deals ultimately not completed. With that I will turn the call back to Chris.
Christopher Constant: Thank you. That concludes our prepared remarks. So let me ask the operator to open the call for questions.
Operator: Thank you. [Operator Instructions] Thank you. Our first question comes from Nikita Bely with JPMorgan. Please proceed with your question.
Nikita Bely: Good morning guys. What's embedded in your 2020 guidance for environmental costs in Getty?
Christopher Constant: Our overall AFFO guidance is $1.75 to $1.80 we could simply don't provide any sort of additional breakdown other than I would say that we don't expect anything to materially change year-over-year from 2019.
Nikita Bely: And on the pipelines are you guys looking at right now, so you mentioned 2019 the split between the c-stores and order was kind of 60/40. Do you plan to maintain that split or it sounds like maybe you will be doing a little bit more of auto in terms of just percentage split of your total deal flow?
Christopher Constant: Yes. I think our view is we're continuing to underwrite convenience and gas opportunities as well as the other automotive opportunities and where we feel that's the right opportunity for us we're planning on acting on that. So we are not targeting any specific split at any given year but what really what we think we have is we have two areas that we are comfortable underwriting and comfortable investing in and growing both aspects of our portfolio but there's really no shift or target specific number that we have for either asset class.
Nikita Bely: Yes. Just curious the acquisition volume, obviously has picked up since recent past quarters and 4Q and year-to-date. Can you give us a little bit of understanding of why that is and is it because of the pricing? Is it just the timing factorial or is it the type of deals you were looking at that came through all?
Mark Olear: This is Mark Olear. Yes. It's more effective just the timing of the transactions as they progressed through 2019.
Nikita Bely: So basically what they're saying is, we shouldn't extrapolate deal flow from your 4Q and 1Q into the future if we were to make an assumption?
Mark Olear: Yes, I mean our transaction activity historically has been lumpier. We are underwriting a significant amount every year and we hope to be more consistent over time but I think it's we're not going to make any comment on recurring level on any given quarter.
Nikita Bely: All right and last question on tenant credit watch list, any comments on that?
Mark Olear: We maintain a process here to monitor our not only at the health of our tenants but also to review the coverages of our individual assets. We do have a property specific watch list which we've spoken to people about in the past and there's really nothing I've note that that's worthy to bring up on the call.
Nikita Bely: Okay. Thank you very much.
Operator: Thank you. Our next question comes from John Massocca with Ladenburg Thalmann. Please proceed with your questions.
John Massocca: Good morning.
Christopher Constant: Hi John.
John Massocca: So I was wondering maybe you could provide a little color on how you kind of source the transactions during the quarter and subsequent quarter end both the car wash deals and the c-store transactions? 
Christopher Constant: Sure. Well, first off each every transaction is a little different. So some have a velocity that moves along much faster and some takes more time and I’ll let Mark answer maybe more more specifically, but within the CNG sector because of our relationships and because of the history we routinely afford the opportunity to look at deals. We are very active in sourcing in that market and I think as we get more experience and have more of a presence in the other automotive sectors we're starting to see that same trend accelerate but [indiscernible].
Mark Olear: Just regarding sourcing, it's just a continued commitment to what we've been doing in the past. We are growing some internal resources dedicated to business development. It's direct outreach to tenants that we research that are growing in the various sectors. It's following up with our existing growing relationships with our existing tenant base widely marketed brokered deals or sponsored deals, trade shows, the standard just commitment to sourcing new opportunities that we've been doing for the last few years and just staying on top of that.
John Massocca: Okay. I mean, which just 4Q and 1Q, how many transactions was kind of implied in that acquisition activity?
Christopher Constant: Well, in the fourth quarter, it was one portfolio sale leaseback and non-individual transactions and in the beginning of this year it's one portfolio sale leaseback and one individual transaction.
John Massocca: Okay, that makes sense. And then you guys mentioned in your prepared remarks that one development deal was kind of removed from the pipeline. Can you maybe provide a little more color on that?
Christopher Constant: Yes. As the development program, the entire portfolio of the development program precedes through the development and time of the process. There are deals that will not achieve the required entitlements or permits to put into development and we make a strategic decision to terminate those efforts and focus on the rest of the pipeline. So there are deals at risk that we make decisions to just terminate the activity on.
John Massocca: And when that progress is kind of terminated it mean did that go back to being kind of an original C-store asset or do you need to kind of find an alternative solution for the property?
Christopher Constant: It's different for each property if it's in a net lease portfolio it will likely stay there. If it's a vacant property we continue to work on the best and highest strategic plan on a property level. So really depends on where it currently is, where it comes from and in the various buckets of our portfolio. So it's not a one-size-fits-all answer there. It's kind of the right decision for each property.
John Massocca: Okay. And then on the balance sheet, I know it's still decently far out but is there any potential to maybe prepay the $100 million private placement note, that’s going to mature in 2021 particularly given kind of where interest rates are today?
Danion Fielding: John it's Danion in here. On those notes they all make whole provisions in there. So we have to do the analysis to look at where issuance costs are related to that obviously that is something, is top of our mind as we progress during the year and so you'll probably hear from us later this year on that
John Massocca: Okay. That's it from me. Thank you, very much.
Operator: Thank you. Our next question comes from Craig Mailman with KeyBanc Capital Markets. Please proceed with your question.
Craig Mailman: Hey, guys. I know we talked a bit last year car washes or something you guys were more interested in but pricing was a little bit tougher. Could you just talk about what has made you guys a little bit more competitive to kind of get the deals in 4Q and 1Q here so far?
Christopher Constant: Well, I think the market continues to be competitive. And I think some of that's relationship driven. I think some of that is where we're targeting in terms of various MSAs. But I don’t think anything has really changed in the overall competitive dynamic. And I think all both of the parties we mentioned I'm sure have multiple relationships across institutional real-estate companies and will be competing in the future.
Craig Mailman: What was the yield that you guys got on the 2020 acquisitions?
Christopher Constant: Yes, that the yields' very similar to where we've been talking about, Craig. So, we've always said is the market where we're looking at is really kind of high sixes to mid-sevens. So, think six and three quarters to seven and a half. And nothing is really deviated from that overall.
Craig Mailman: And then, pro forma the 1Q deals, kind of how much capital do you think you can deploy and remain within your leveraged targets?
Christopher Constant: Well, some of that depends on our ability to issue on the ATM. If we could choose to use that product but we certainly have ample capacity remaining under the line. And if you look at kind of our activity pace over the last couple of years, take maybe an average of that, I think like we feel we've got ample capacity to continue to grow at that same rate. And obviously, the ability to issue under the ATM and given where wherever the stock price might be is would only add to that.
Craig Mailman: Okay, great. Thank you.
Christopher Constant: Be just a rough -- just to be clear. I mean there is no, there's no plan for us to materially deviate from where our leverage has been over the last several years. We maintain a historical leverage profile and there's no real plan to deviate from that.
Craig Mailman: Right. No, I was just trying to get at how much you could deploy before you would need to do a figure equity raises, if the portfolio came about like what -- is it a 100 million or a 150 million you guys feel comfortable putting out the door before you would need substantial equity?
Christopher Constant: Yes. I think we've got well north of 200 million available under the revolver. And obviously we do have the ATM program which would somewhat mitigate our need to go do a larger equity deal if there were a large portfolio. So, but again we look at -- we've done lager equity deals. We look at all of our sources of capital as we kind of look to grow the business. So I think there is -- in our minds, a right tool for each type of transaction that's out there.
Craig Mailman: Great, thanks.
Operator: Thank you. At this time we have no further questions. So, I'd like to return back to Mr. Constant for any closure or further remarks.
Christopher Constant: Well, first off, thanks everybody for being on the call today. We look forward to get you back on the phone with everybody at the end of the first quarter 2020 at the end of April. Again appreciate your interest in Getty Realty.
Operator: Thank you. This now concludes our conference call. You may disconnect at this time.